Operator: Thank you all for joining us this morning. Before I turn the call over I need to advise that certain statements made during this call today may contain forward-looking information, and actual results could differ from the conclusions or projections in that forward-looking information, which include, but are not limited to, statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, future metal prices, and the cost and timing of the development of new projects. For a complete discussion of the risks, uncertainties and factors which may lead to actual financial results and performance being different from the estimates contained in the forward-looking statements, please refer to Yamana’s press release issued yesterday announcing fourth quarter and year end 2016 results, as well as the Management’s Discussion and Analysis for the same period and other regulatory filings in Canada and the United States. I would like to remind everyone that this conference call is being recorded and will be available for replay today at 12:00 P.M. Eastern Time. Replay information and the presentation slides accompanying this conference call and webcast are available on Yamana’s website at yamana.com. I will now turn the call over to Mr. Peter Marrone, Chairman and CEO.
Peter Marrone: Thank you very much for that introduction. Ladies and gentlemen let me mention as I normally do the members of management that are here with us today. We have our speakers today Daniel Racine, Darcy Marud, William Wulftange and Jason LeBlanc; also with us here today are Yohann Bouchard, who is one of our Senior Vice Presidents managing our Northern Division and of course Gerardo Fernandez, our Senior Vice President who manages our Southern Division. While Jason will be speaking on the financial results of the Company as the new Chief Financial Officer of the company, I do want to mention that in the room here also is Chuck Main. Chuck has been our Chief Financial Officer going back 2003 when this company was for first formed. Chuck is retiring effect of end of this month. He has been an excellent manger in this company, has done a formidable job in the management of our accounting, audit and an excellent senior manager in this company. Most recently in the last year we engaged in a succession plan to move Jason into the role of Chief Financial Officer and I am very confident saying to our shareholders that he’s done an excellent job through that succession plan and the transition of Jason into the role of Chief Financial Officer. Chuck will now be migrating into a new role, probably golf and gardening. And we encourage you in your new role in retirement, but we thank you for all the effort that you have put into the development of this company. Ladies and gentlemen we’ve said before that our corporate strategy is to be recognized as an Americas-focused growth Company. If I can take you to the map to the right-hand side of this page, we are in four high-quality, very favorable jurisdictions for mining, Chile, Argentina, Brazil and Canada. We have six, soon to be seven, producing mines. We call ourselves a growth company, but growth draws [ph] means many things but most importantly ultimately growth has to be growth in cash flow and growth in free cash flow. Production is important, but production needs to be balanced with cost and we want to be a company that is recognized as a low-cost producer with a declining cost construct. We have exposure to world-class mining jurisdictions, we do take a portfolio approach to asset management and to operational execution. We have gone through periods of strategic acquisitions and organic growth. We have gone through periods of strategic acquisitions and organic. We are now in a period of organic growth moving forward and are focused, as I mentioned a few moments ago, is on cash flow optimization and increases in free cash flow as we expect to see into the next several years certainly within our guidance period of the next three years. Tactically, it’s important to continue to execute on operations, deliver quarter-over-quarter and year-over-year on production and on costs. We’ve spent considerable effort in the last couple of years, including into last year on making management better suited to the asset portfolio and making the management construct better. We look at managing our assets and also managing our balance sheet. If we look at 2016 then, we met our production goals for 2016. We produced 1.27 million ounces of gold, which is within our guidance for the year; seven million ounces of silver again within our guidance and 116 million pounds of copper, which was above the guidance expectation that we have provided for our Chapada mine by the middle of last year. It is the second year in which we met or exceeded our production expectations. On the cost side we indicated a range of costs for total cost of sales, co-product cash costs and all-in sustaining costs. And I’m happy to report that by end of year we achieved our objective of being within our cost range and in some cases being at the low end of our cost range. We produced 1.27 million ounces of gold at an all-in sustaining cost of $911 per ounce; seven million ounces of silver at $12.65 per ounce and 116 million pounds of copper at $2.03 per pound. 2016 was also important on several other fronts that do not relate specifically to operations or at least to production but are important in terms of the longevity of our company. We consolidate our efforts at improving management and our management construct. We appointed one of our own Daniel Racine into the role of Chief Operations Officer. We divided the management of our assets into North and South division. We simplified the Company with six – with Cerro Moro, soon to be seven producing mines. We have a manager at an SVP level of North assets and a manager at SVP level of South assets reporting to our Chief Operations Officer. We made last year significant exploration discoveries at Chapada in particular, also at Minera Florida and at Gualcamayo. We advanced these precious metals discoveries. We go through these ebbs and flows of increases of discoveries, then resources, then proven and probable reserves. 2016 was a year of discoveries, 2017 will be a year where we believe we will translate that into increases in proven and probable reserves. And while Bouch and Darcy will take us through how our proven and probable reserves overall went up last year, this is a year where we expect to be able to demonstrate an increase in proven and probable reserves on a mine-by-mine basis, focusing in particular on Minera Florida, on Gualcamayo and on Chapada. We repositioned our mines for better, more sustainable production. This is not a company that’s going to focus on the number of ounces. We don’t want to be that sort of company. We’re not looking at 2 million ounces of production or 1.5 million or 3 million ounces of production, we’re looking at sustainability of production and the balance between production and costs. Repositioning our mines makes us more effective and more efficient and that includes what we had to do with El Peñón last year to make it more effective and more efficient. We’ll speak to that more in the course of this presentation. We continued the advancement of the development of Cerro Moro and Suruca, Suruca being the additional production of gold-only coming from Chapada, as well as the permitting at Barnet Canadian Malartic. We improved our balance sheet in the last couple of years very significantly, in last year a $455 million improvement to our balance sheet. We completed our going public event for Brio Gold. And while it was not complete exactly to what we had intended to achieve, we did take Brio Gold public, we have sold down some of our position and we will continue to look at how we optimize the value of that investment that we have in Brio Gold. One of the challenges of a gold mining company is to outline strategically what it intends to do. Earlier in this presentation I mentioned a strategic outlook of this company and Americas-focused growth and what I define as our objective on growth. But what I wanted to do here is to also say, what should you expect from this company in the next two years and five years? We outlined in a press release last night our two-year, five-year and ten-year plan. But most immediately two years which is the short term and five years the intermediate term. We want to focus on operational execution including the advancement of near term ongoing optimizations. This is very true for Chapada and some of the efforts that we’re undertaking at Chapada. We will continue to advance Cerro Moro to mechanical completion by the end of this year and start up of operations in commercial production early in 2018. We will continue to advance our organic pipeline through exploration that is targeted at the most prospective properties. As Bouch will take us through, and as we outlined in the press release a couple of days ago, this is true for Chapada where we have several district opportunities. Gualcamayo with three new oxide discoveries, Minera Florida with some of the best discoveries that have ever been made at Minera Florida and Jacobina of course with every new discovery that we make at Jacobina at grades that are higher than our reserve grade and what we’re currently mining at Jacobina. We will improve the efficiency of mining narrower veins at El Peñón. Even in the last year we’ve demonstrated the improvement in that efficiency. We have a reserve grade, a tonnage coming through our plant with the improvement in the efficiency of mining narrower veins the process grade will go up and that will add a compounding because we’ll also be able to process more material. So we have a current production platform at El Peñón and we believe as we become more efficient at mining some of those narrower veins, we will be able to improve our production platform at El Peñón from what we have set out as of today. We will evaluate and advance the monetization initiatives to further strengthen our balance sheet. Jason will take us through a couple of points. While organically with the introduction of higher grade coming from Canadian Malartic and Jacobina, improvements in efficiency at El Peñón into 2018 and of course the introduction of Cerro Moro, we will be increasing the EBITDA of this company and the cash flow of this company very significantly within the next 11 months to 12 months. But just as importantly as the improvement to the EBITDA we’re still committed to the improvement of the balance sheet by the reduction in the overall debt of the company and we’ll continue to look at monetization efforts in that regard. In the next five years, so in the near immediate plan we’re going to focus on operational execution and advancing the medium term optimizations and possible expansion opportunities. This is very true with the new district discoveries and the district plays at Chapada. We’ll continue to mature prospective exploration discoveries. As I mentioned earlier, taking our discoveries in 2016 into mineral reserves and resources increases in 2017, on a mine-by-mine basis. We’ll continue to advance those exploration discoveries and projects that are – where we can make construction decisions and production contributions. We intend in that five-year horizon to win one – to bring one more perspective property to development stage. Our most advanced projects that can be brought to development stage are either in Argentina or Canada. Our focus is primarily in Canada, but we’ll look to where we can deliver the best project in this company. Interestingly and Jason will take us through this. We’ll have a hiatus even with the optimal plan for the development of a new project in this company in our CapEx. After the development of Cerro Moro, and the expansion of Barnet and the development of Suruca we’ll have at least a two-year hiatus in our CapEx where our CapEx declines very significantly to a range of between $50 million and $100 million per year and we’ll continue to reevaluate our portfolio of mines and projects to consider possible upgrades. On our guidance for this year, if we look about two thirds down on the page, our production forecast on a consolidated basis, with attributable production coming from our investment in Brio Gold, we expect to produce 1.14 million ounces of gold that will increase to 1.32 million ounces in the next couple of years. If we look above on the page, these are our six producing mines soon to be seven producing mines, these are the mines that we have carriage. We expect to produce 920,000 ounces this year, 4.74 ounces of silver and 120 million pounds of copper. This is a substantive company. If we look at a gold equivalency with silver as a gold equivalent we’re over one million ounces. If we apply copper we’re over 1.3 million ounces of overall gold equivalent production. That gold increases significantly, from 920,000 ounces to 1.1 million ounces in the next couple of years. Interestingly and perhaps even more importantly, is the silver production. 4.74 million ounces increasing to 14.5 million ounces in the next couple of years, almost a 10 million ounce increase in silver production. Ladies and gentlemen, I think we are in a bull market for gold and for precious metals. And in a bull market for precious metals silver over performs gold. I’m very happy to say that we have an increase in gold production and even happier to say that we have an increase in silver production and we will take advantage of what we believe to be true which is that silver will over perform gold price and we’ll get the benefit of that windfall in our production. And Interestingly, that production for silver and gold is coming at lower cost. Because our production for silver and gold is coming most notably as you see at the bottom of the page from improvements at Gualcamayo and at El Peñón and Jacobina, increases in grade at Canadian Malartic and of course the introduction of Cerro Moro into our portfolio of producing mines. And Darcy will take us through Cerro Moro and the production platform from that tiny operation of a 1,000 tons times per day, 130,000 ounces of gold and a significant silver production but just as importantly it’s very low cost. If we look at the costs we expect cost to be in line this year with last year from our six producing mines, roughly $900 all-in costs and $660 cash cost. And for silver, $10.50 for ounce of silver and $14.20 on an all-in cost basis. I appreciate that we have said last year that we produced three metals, copper, silver and gold. We do not apply copper as a byproduct credit. We will show our cost structure independently. We recognize that some of our peers show by product credits. So I just wanted to highlight if we apply copper as a byproduct credit then our byproduct cash costs will reduce from $660 per ounce to $540 per ounce. Our all-in costs will come down from $900 per ounce to $840 per ounce. For silver that $10.50 cash cost becomes $8.60 and the $14.20 all-in cost becomes $13.40. So we compare very favorably to some of the top peers and certain our cost structure is where we expect it to be, which is at least the bottom quartile. Let me spend a few moments before I pass this to Daniel Racine to talk about El Peñón El Peñón has been in production since 1999. Since 1999 we have produced – this mine has produced more than 4.7 million ounces of gold and roughly 120 million ounces of silver. Since 2007 the production platform has shown 2.7 million ounces of gold and over 80 million ounces of silver. This has been an exceptional mine going back to – 1999. We consider that this is going to continue to be an exceptional mine. Last year I put a mandate to our new Chief Operations Officer and to our Manager of our Southern operations, Gerardo. We had two years where we were producing below our production goals. And it looked as if we would have a third year where we would be below our production goals. So the mandate was develop a plan that creates sustainability, that reduces costs, and creates a steady state of operations. And I’m happy to say that that plan was achieved. It is less than El Peñón has been in the past, but it is now steady state, achievable and we expect to be able to have a long life at this operation. We took our exploration and development spend, we were spending $30 million per year roughly in exploration and $60 million in development. Roughly 50 kilometers of tunneling per year and we’ve reduced that $40 million on the exploration side and $35 million on the development side. To say it differently we’re giving more time for exploration for the discovery of wider high-grade veins. We think that that prospect is there at El Peñón. And as we discover narrower veins and become more efficient at the mining of those narrower veins, we have long-life at a high quality production level. That production of 140,000 ounces per year and roughly 4.1 million ounces to 4.2 million ounces of silver is achievable, it’s sustainable and that was important to us. If I looked at it from the point of view of what we produced we produced at door rate [ph] that is gold and silver. And so on a gold equivalency basis using spot prices we intend to produce between 200,000 and 250,000 ounces per year. This mine is now at that level and we think that it is sustainable and there is opportunity and improvement for upside. This is a transition year for El Peñón with some of the available wider and high-grade veins being replaced by numerous high-grade, yet narrower veins although much closer to infrastructure requiring far less development work. And with that I’ll pass it to Daniel on our operations.
Daniel Racine: Thank you Peter good morning everyone. Before I speak about Q4 let me tell you that I have very proud of what has been accomplished in 2016 at all of our operation. And I see great future at all of them. In Q4 we delivered over 318,000 ounces at an all-in sustaining cost of $928 per ounce. Excluding Brio Gold, we produced over 268,000 ounces as an all-in sustaining cost of $894 per ounce. Silver was 1.6 million ounces at an all-in sustaining cost of $14.48 per ounce in the fourth-quarter. And copper production was 36.9 million pounds at an all-in sustaining cost of $1.8 per pound. All-in-all we had a strong quarter, including delivering higher quarter-over-quarter gold production at lower cost. We also delivered increase silver reduction compared to the third quarter. I would like to briefly highlight that the Brio Gold-producing mine continued their strong performance in the final quarter of 2015. In 2016 we were able to deliver significant improvement across all of our mine portfolio. At Chapada, we saw a significant turnaround in the second half of the year, after we encountered challenge in Q2. In the end, we met and exceeded our production expectation for 2016. The flotation cell retrofit is completed, and as a result, we've seen recovery gain in the range of 5% to 7% for gold and copper. We are also seeing improvement in the in-pit crusher, with better efficiency and stability contributing to higher mill throughput. We also installed an advanced control system that is helping improve throughput recovery and costs. During 2016, we made significant revision to the block model. This has increased the predictability and availability of our mine plan. El Penon began the transition in 2016. And for much of the year, we advanced an assessment of an optimized production plan. During the year, we also increased mine development productivity by 20%, with the objective of further improving the efficiency of the underground operation. We also improved our ability to mine the narrower veins that we have encountered, by reducing the mining width, and drift, and stopes. While we assessed and optimal production plan we also advanced exploration through significant discoveries of extension of historic [ph] veins. William will provide more on these results later in the call. Canadian Malartic continues to deliver. 2016 was a record year for production. Permitting at Barnett expansion is advancing and during 2016 the BAPE issued its report, including positive recommendation relating to the project, we are on track for Barnat to being contributing to production as planned. The mine has also made improvement in the areas of health, safety, environment and community relations. In particular, I would like to highlight the Good Neighborhood guide launched by the mine. This guide is a innovative approach to collaborating with the community and overall we are seeing support from the vast majority of citizens of Malartic. Gualcamayo also had a strong year operationally and exceeded production expectations. We developed the path towards potentially extending mine life with discoveries of new oxide deposit adjacent to the pit and other that are within a few kilometers. William will also discuss this exciting result later. We made improvement to our underground operation as we achieved caving in the underground mine and have increased the amount of development. At Minera Florida, we completed a number of conceptual studies. One of the studies related to the implementation of ore oil [ph] leeching and we expect advance this project in 2017. We also completed a study looking at how to develop new discoveries and unlock the potential of the recently consolidated land around the core mine area. But no lease 2016 saw a continued improvement at Jacobina where we delivered higher year-over-year gold production at lower cost. We have opened up additional mining zone which we expect to positively impact throughput. We have also improved our mine planning and sequencing and this is expected to the result in more efficient movement of ore amounts other improvement. I would like to turn now to the outlook for our mines. Chapada has a number of opportunity we are pursuing. We’re looking to expand the mills at Katrinie [ph] to increase residency and improved gold and copper recovery, while reducing unit costs. We believe we can further improve recoveries about the improvement we saw in2016. We are also looking to develop and optimize life-of-mine plan that will deliver production at or ideally above current level. We are implementing out-of-cost saving and efficiency improvement initiative that we expect we’ll increase our performance while decreasing our cost. The development of Suruca is a key catalyst. We are advancing this gold-only deposit to a startup of production in 2019. At El Peñón we have announced a new plan to produce a 140,000 of gold and 4.15 ounce of silver. At these levels the mines remain a significant reducer of gold and silver and we’ll be a more consistent producer going forward. Equally important, that production level is that we are reducing our development spending by 42%. With our new plan in El Peñón we’ll be a more modest producer but will remain an important contributor to our cash flow over a longer period. As part of our plan, we look to further improve our ability to efficiently mind a narrower vein we are encountering while we also develop new zones. We have other opportunity to further optimize the cost structure based on the new production platform and expect to see cost coming down from 2017 level into 2018 and 2019. Canadian Malartic had a record 2016, as I said. But we expect even more in 2017 as production is expected to increase to 320,000 ounces on a 50% basis. Improving grade will account for much of the expected increase of production but the mine is also looking at things like increasing sag ability [ph] and other efficiency improvement. All of these will be done while building on the collaborative approach that has been taken to work with the community. In particular we continue to work with stakeholders through the permitting process of Barnet as we take it into production. We’re expecting production at Canadian Malartic to increase to approximately 325,000 ounces in the coming years. At Gualcamayo our primary focus is on the new oxide discoveries as already mentioned. We are targeting an increase to mineral reserve with the ultimate objective of unlocking the potential of a new phase of open pit. Improving recovery is a key to reduce cost at Gualcamayo and we began a conceptual study to improve recoveries from the open pit. Costs are also expected to improve over the guidance period after the initial one-time cost relating to underground sub-level stoping. We are expecting consistent production from Gualcamayo over the guidance period, but we see possible upside with the recent discoveries. Similarly, we are expecting consistent production from Minera Florida over the guidance brand with possible upside from recent discovery. One of these discoveries is Las Pataguas. This target is closer to the plant and the current mine working and could possibly be accessed via the Hornitos Tunnel which we started to develop in 2016. We will build on 2016 conceptual study relating to the ore oil leeching project, and are targeting building this to a feasibility visibility study by the year end. Improving productivity of the underground is also our focus. We’re aiming to increase productivity with the ultimate objective of increasing mine throughput, thereby replacing the contribution from the repossessing of the tailing. At Jacobina we see potential for improvement beyond what we achieve in 2016. Production is expected to be consistent over the guidance period, however, we are targeting great improvements with good potentially increase production and decreased cost. We will also advanced cost saving and efficiency improvement initiative as we aim to improve our safety performance and reduce cost. Finally we are implementing change to the mining method that are expected to increase productivity and decrease unit cost. Bringing all this together we’re guiding production of 920,000 ounces of gold, 4.7 million ounces of silver and 100 million pound copper for 2017. We are expecting modestly higher year-over-year cash cost and all-in sustaining cost for gold and silver, while copper cost per pound produced are in line with 2016. Total attributable gold production including production from Brio Gold mine is targeted at approximately 1.14 million ounces. Looking a bit further out we are expecting gold and silver production to increase year-over-year reaching 1.1 million ounces of gold and14 million ounces of silver in 2019. This impressive increase equates to compound annual growth rate for gold production of approximately 10% and 75% for silver from 2017 to 2019. Expected copper production is flat over the guidance period at 120 million pounds. I will now turn the call over to Darcy.
Darcy Marud: Thanks Daniel. We will first look at Cerro Moro. Progress at Cerro Moro continues on schedule, on budget and according to our plan. 2016 capital spending totaled about $55 million with a significant ramp up on the on-site construction activities. Bulk earthworks were completed and concrete work is now over 40% complete. 100% of the planned 620 [indiscernible] meters of underground development was completed during the year and detailed engineering is on plan with approximately 85% completed by the end of the year and procurement progress is tracking according to our plan with 46% of all capital now committed. During the year we also identified an opportunity to better exploit higher silver grades without additional capital. This will result in increased upfront silver production. Gold and silver production in 2018 including ramp-up in Q2 will be approximately 80,000 ounces for gold and 4.5 ounces for silver. In 2019 it will total approximately 130,000 ounces of gold and almost 10 million ounces of silver. And for both years all-in-sustaining cost will be well below $600 for gold and $9 for silver. $233 million of capital remains to be spent with $175 million of that in 2017 and the remainder in the first half of 2018. On the next page you can see some photos of Cerro Moro. On the left-hand side you can see the progress that we’ve got on the foundations for both the flotation cells and ball mill building; and on the right the access is into the Escondida Far West tunnel and the picture of the underground from that tunnel on the bottom right-hand part of the slide. Now turning to mineral reserves and mineral resources, we remain with a robust reserve portfolio in the Company. Mineral reserves for year end 2016 totaled about 16.7 million ounces of gold, 80.3 ounces of silver and 3.3 billion pounds of copper. These reserves include the minus 84.6% attributable share of Brio. Gold reserves of approximately 8% year-over-year due to additions at Brio and Upper Beaver; silver resources were down – silver reserves excuse me were down 15% mainly due to depletion in decrease grades at El Peñón while copper reserves increased by a significant 7% due to additions at Chapada. Reserves were declared for the first time at our 50% owned Upper Beaver project near Kirkland Lake, Ontario and our share totaled almost 700,000 ounces of gold at grades of almost 5.25 grams per ton. I will now turn it over to Butch to discuss on a mine by mine basis the significant exploration successes of 2016 that will lead to R&R growth starting at 2017 and carrying into the future.
Yohann Bouchard: Thank you Darcy, and good morning everyone. The Yamana exploration has had a busy fourth quarter and a successful year 2016 of mineral resource discovery at all its mines. For more detailed information please refer to the February 14’s exploration update issued earlier this week. At Chapada we have experienced continuous resource discovery and growth since 2008. The Corpo Sul and South West mines discovered in 2011 and 2013 respectively are in production and Suruca discovered in 2009 is in the development stage. The discovery of Sucupira in 2014 and Baru this past year 2016 are the most recent examples of near mine exploration success that will lead to future reserve growth. As most of you know, Sucupira is a 1.7 kilometer long cigar-shaped mineral body that parallels to north wall or main Chapada pit but at depth. The Baru discovery lies immediately north and very importantly above the Sucupira deposits. Similar geometry and proximity of the deposits one above the other could lead to economic open pit extraction of both. Obviously we need further work on the Baru to make this happen but we’re pretty positive in the current results. The Formiga deposits lay 18 kilometers North East of the current Chapada mine complex and are in the discovery phase at this time. Initial drill results indicate a high-grade copper only system was present but further follow-up soil sampling and focus drilling has outlined a second copper gold system very similar in grade and shape as the Chapada deposit which in itself remains open to depth and long strike. As you can see, exploration of the Chapada district remains in the discovery phase. At El Peñón discovery of high grade moderate width vein structures existing infrastructure at Quebrada, Colorada, Bonanza, Providencia and other principal vein structures presented a new challenge to the mine engineers. Over the course of 2016, narrow vein mining techniques were put in place that ensure the productivity of these newly discovered veins while exploration continues to do its exploration for additional near mine veins and another principal vein on the property. We’re pretty confident that we’re going to be successful. Odyssey has a growth engine at the Canadian Malartic currently. The CMC Partnership has published a main resource as Darcy mentioned and plans are in place to expand the resource base of the portri-hos [ph] mineralization and the high-grade cross structures in 2017. 2016 was a year of data review and targeting at Kirkland Lake including an update of the mineral resource model at Anoki McBean which has contributed to resource growth on that property. 2017 is slated to be a year of drill testing of the targets developed in 2016 and most certainly will result in resource growth there as well. Next slide please? At Gualcamayo, exploration immediate surrounding the active pit has discovered approximately 350,000 ounces of oxide material in multiple deposits currently classified as in Bird Resources. These new deposits Cerro Condor, Potenciales, Las Vacas and others are largely open long strike some down dip and will be the focus of infill drilling during 2017. Please review the aerial photo in the lower left of the slide. These deposits are easily accessed from the existing infrastructure and can be rapidly put into production profile at Gualcamayo. The Yamana exploration has worked to develop additional near mine and district targets that will be drill tested and further explored in 2017 to grow the resource and reserve base at Gualcamayo. And these are near pit just off of that photo targets. So we are excited there. At Minera Florida the tag line has to be the best discovery in the last 10 years. As stated in the exploration update released earlier this week. The Las Pataguas [ph] deposit is near mine occurs as a massive quartz vein hosted in the same upper Cretaceous volcanic units from which the current production is sourced. Please refer to the aerial photo in the bottom corner of the slide, you can see the location, the Pataguas in respect the current mine workings and the plant is perfectly positioned for exploitation. The discovery hole number 18 cut 16 meters of 7.8 grams per ton gold with subsequent holes 20 cutting 2.9 meters of 18.25 grams per ton gold and 21 cutting 3.5 meters of 8.9 grams ton gold. The extent of known mineralization to date is approximately 350 meters a long strike and 250 meters vertically and is open long strike at least and it gets better. There are two additional veins which occur as place or offshoots of the Pataguas vein called the N-N and the Don Lee Apollo [ph] vein which report good widths and potential ore grade values as well. And as Daniel mentioned the Hornitos tunnel can be extended the between the Las Pataguas vein system and access mill capacity that can produce process the new discovery along with some material already in mine shows the upside here. Please stay tuned, I’ll now pass the mic over to Jason, the newly appointed CFO.
Jason LeBlanc: Thank you, Bouch. Turning now to our financial performance for the full-year, as you can see we had an improvement across our financial metrics during 2016. Revenue of approximately $1.8 billion was up over $67 million from 2015. In 2016 we had a net loss of approximately $291 million that included a non-cash net impairment of $379 million. Looking at adjusted earnings though, we see an increase during the year of $107 million or $0.13 per share to $43 million or $0.05 per share in 2016. Increased adjusted earnings were driven in part by better in mine operating performance and lower G&A and DD&A. Expansion area and total exploration spending increased as planned primarily as construction ramped up at Cerro Moro. Looking at cash flows we also had a strong performance, which is a trend we expect to continue. After adjusting for stream proceeds included in cash flow, we saw adjusted operating cash flow before changes in working capital of $562 million in 2016 were up $48 million on the year. Looking at margin performance, both gross margin and EBITDA margin increased meaningfully in the fourth quarter and for the full-year, compared to 2015. We expect our 2016 margin expansion trend to continue with a growing production profile especially from the contribution of lower cost ounces and mines at Cerro Moro, EBITDA growth will benefit significantly. Absolute dollar margins will also be picking up when production is increasing with these low cost ounces to come. Our financial performance also translated into increased net free cash flow compared to 2015. In 2016 we generated just over $211 million of net free cash up almost $174 million from 2015. Our ability to generate significant net free cash flow is supporting our efforts to further strengthen our balance sheet and reduce net debt. Sustaining capital spending excluding Brio was $242 million during 2016. As you saw from our guidance sustaining capital on the same basis is expected to be $204 million for 2017 were down nearly $40 million. Most of this decrease is due to the much lower primary development at El Peñón that we see perspectively. Despite the lower production levels at El Peñón year-over-year, the lower sustaining capital I just mentioned along with lower exploration cost will maintain El Peñón as one of our top free cash flow generators. I’ll now like to spend some time on our balance sheet. In particular I’d like to highlight the improvements we’ve made over the last two years when we implemented our debt reduction initiative in earnest. This has been an important target for the company, we set out to improve our balance sheet and this is what we ended up doing. We reduced our total debt by $470 million since the end of 2014 with an approximate $180 million reduction during 2016. In terms of net debt, the reduction during 2016 was $160 million with a total reduction of $370 million since year-end 2014. We have been focused on increasing production and managing cost to maximize cash flow, which has allowed us to strengthen our financial position. Furthermore, several monetization initiatives have contributed to our net debt reduction efforts during last two years. This net debt reduction effort has been driven by our objective to transition back to a more conservative balance sheet like we had in the past and enhancing our financial flexibility to pursue some of the high quality growth opportunities within our portfolio. Going forward we continue to be focused on improving our financial position. Through to 2019 our net debt to EBITDA is forecast to improve due to lower debt levels and expanding EBITDA from higher production and margin improvements. We’ll see a significant drop in our expansionary capital spending after 2018 when we expect an annual run rate on expansionary capital of between $50 million and $75 million only. This is down from $270 million during 2017. We are also within striking distance of seeing a significant contribution to our EBITDA from Cerro Moro. Even the production scale and very low cost at Cerro Moro we will see a step change in EBITDA coming from this new cornerstone mines starting in just over a year. I should also mention that other monetization initiatives would accelerate the balance sheet improvement that we already expect. Now, I’ll go over our financial flexibility in a bit more detail. At the end of the year we had slightly under $100 million in cash and $884 million in un-drawn credit. This provides us with plenty of immediate flexibility to deliver on our growth plans. We also have a favorable debt maturity profile during 2017 with modest repayments of only $19 million during the year. As I highlighted at the end of the third quarter, we also have other non-cash considerations from 2016 such as the premier gold, common shares and warrants from the sale of Mercedes that we can evaluate in time. And again, we have various ongoing monetization initiative that may further enhance our flexibility. All of the positions us well to achieve our longer-term target of a net debt to EBITDA ratio of less than 1.5 times. I will now turn the call back over to Peter.
Peter Marrone: Jason, thank you very much for that. So let me conclude the formal presentation by a couple of other important observations. We talk about assets and gold mining companies but we need to focus on important point. This is much a people businesses as it is an asset business. Improving and enhancing management was an initial step to further improvements of the business. If you look to the right-hand side of this page we have enhanced our EVP structure and improved and simplified our reporting lines. We appointed last year, Daniel into the role of Chief Operations Officer. We aligned the responsibilities of two Senior Vice Presidents of Operations to reflect a more effective division of assets and responsibilities reporting to our Chief Operations Officer. We said last year that we think the next wave of cost improvements in addition to the efficiencies and optimizations that the operations people will engage in is procurement, the supply chain. We hired someone from outside of the industry to come to the Company at a Vice President level reporting to our Chief Operations Officer, whose role will be to improve the supply chain, our warehousing, inventory, management of contracts and contractors. We completed the transition of our Chief Financial Officer and we continue to centralize the technical and operational competency of this Company into Toronto. In the middle of all of that as we see on the left-hand side of this page we had significant operational and strategic objectives that were achieved during the year. Operational management is ensuring that the right people are in the seats that are positioned to deliver on our expectations. The focus is now on more firmly delivering on operational improvements and ultimately then through 2017 and primarily into 2018 and 2019 increasing cash flow and increasing free cash flow. Our operating margin and development projects are in four favorable jurisdictions as I mentioned at the beginning of this. Our focus continues to be on improving the portfolio. We have six soon-to-be seven producing mines in Cerro Moro. We went to increase the scale of each of those assets. But mostly the important point is to contribute to cash flow. As a headline item we want to have each of our mines at least at 130,000 ounces of gold production but the objective is to balance that production with cost so that we can improve our cash flow and free cash flow. We’re going to continue to advance our development stage projects on time and on budget. We will develop optimal mine plans as Daniel referred to with production and overall production increases and overall cost decreasing, we’ll demonstrate additional potential through the exploration successes that Darcy and Butch touched on. And with the strong Canadian focus of this Company we intend to continue to expand on that Canadian presence most notably with the improvements of Canadian Malartic and of course with our Kirkland Lake portfolio. And with that if I could open up the call to questions.
Operator: Thank you. We will now take questions from the telephone lines [Operator Instructions] Thank you for your patience. The first question is from Steve Parsons from National Bank Financial. Please go ahead.
Steve Parsons: Yes, thanks. Thanks for taking my call. Good morning guys. Just on Cerro Moro wonder if you could walk us through some of the other milestones for the ramp-up. Peter you had mentioned mechanical commissioning later this year. What is the approximate timing for sort of commissioning in First Gold report?
Peter Marrone: Darcy?
Darcy Marud: Yes, right now what commissioning would be the first quarter of 2018, First Gold report would probably be middle part of Q2 of 2018.
Steve Parsons: Thank you, okay. And then still in Cerro Moro trying to get a feel for how much development work has been done ahead of time on the underground as you guys know sometimes it can take a while to build out the tonnage from an underground and it’s based on how much development work has been done in advanced. Where do you guys sit in that respect? Would you expect for stockpiles to be on the surface before you start and maybe how far advance will the underground be in terms of the numbers of stopes and developments and such.
Darcy Marud: Good question. And I guess you are aware that Cerro Moro is going to have both open pit and underground. So we will have both going at the same time. In this program that we’ve done to enhance the silver production upfront we are moving one of the underground mines forward, so the lot of the develop and we’re currently doing is to achieve that goal of having underground ore with the high-grade silver available as soon as the mine ramps up. So right now we’ve got about 900 meters of underground development completed between what we did in 2016 and what was done previous to that, we’ve got more underground development that will continue this year, that will be excess of what we did in 2016. So we believe we’ll probably have about five to six months worth of stockpiles ore on the surface from both open pit and underground when we commence the ramp up program in Cerro Moro.
Steve Parsons: Perfect. Okay. And then maybe over to Yohann please. In terms of the potential at depth on some of the historic veins that have showed, now shown signs of some extending, has any of that been considered and baked into the guidance going forward and what sort of development rates and maybe mining methods have been considered for some of the stuff at depth on the old veins.
Gerardo Fernandez: Good morning, Steve. This is Gerardo Fernandez. In terms of the consideration of those discoveries we have not included them in the guidance. We need to develop those areas. And in terms of mining method, in general we are implementing a combination of mining methods. Some areas depending on the widths and the rock conditions are evolving into conventional current field some others to open a stope. And I would say maybe 80%, 75% it remains as becham field but with a minimum mining width of 0.6 meters for the development and 0.8 meters for the stopes plus and over break.
Steve Parsons: Okay. And just on open Yohann, I had read that there was some workforce reductions there. Could you sort of provide a little bit of color on that.
Yohann Bouchard: Yes, through the last part of last year we optimized our workforce underground. That’s a process that is still in progress through the first quarter we should rationalize a level of workforce as well as services. And we have more or less until middle of the year to optimize our services.
Steve Parsons: Okay.
Peter Marrone: But it’s roughly one quarter of our workforce being reduced.
Yohann Bouchard: Yes.
Steve Parsons: Okay, thank you to you both.
Operator: Thank you. The next question is from Tony Lesiak from Canaccord Genuity. Please go ahead.
Tony Lesiak: Thanks, good morning to everyone. Question for Bouch, just in terms of the exploration discoveries that you announced earlier this year, obviously we didn’t see that translate into the year-end reserve resource statement yet. I wanted to see if you could quantify some of your expectations for 2017 at some of these assets in terms of – if you can walk us through what type of resource additions you might be looking for. And particularly if you look at the reserve resource window for Suruca oxide, there doesn’t seem to have been a change in that kind of five years at 40,000 ounce guidance and you had some pretty significant success this year. Can you kind of give us a sense of where that could go?
Yohann Bouchard: Sure, Tony. Thank you for the call. I think Suruca is still planning on a production level of approximately 40,000 to 50,000 ounces per year as an oxide deposit. The deposit has grown modestly to the south, it is still open to the – I guess it would Southwest. And for the oxide deposit, the sulphide in terms of depth have yet to be considered in the mine plan. But we see better grades than originally drilled six years ago. And certainly extensions of that mineralization of depth I couldn’t quantify how big will it double, we haven’t seen that yet. But there is a potential.
Tony Lesiak: And maybe at the Minera Florida.
Yohann Bouchard: Minera Florida well that’s really the star I think in addition with some of the new discoveries at, Minera Florida where as you know we picked up the southskavich [ph] ground. And Minera assessing these grounds and we essentially consolidated that district. We control all the important structures and mineralization in that district right now. And our new Las Pataguas discovery I mean that was the first drill hole and it’s open, we are drilling it, we have several others at very least on the newly acquired ground. We see potential there for minimum 700,000 ounces but realistically you’re looking at over one million ounces of new potential there at the very least. It’s pretty exciting times.
Tony Lesiak: Okay. And then maybe just finally for you on El Peñón. If you look at the existing resource you have there the Yamana in the Inferred maybe you could just talk to the conversion potential of that? Is this a function of infill or are these further out maybe just give sense where these resources sit?
Yohann Bouchard: We’ve been reassessing all the mineral inventory that we have there right now. And with some of the changes in mining methods we’ve converted less than expected at this point but I think the future discoveries will add to the mineral resource inventory and certainly will convert – get the conversion rate back up. Historically it’s been 70%, 75% its dropped down to 50% and now recently its probably around 30%.
Tony Lesiak: Sorry. Would that be a good number to use then for the existing resource in terms of what you think you can convert?
Gerardo Fernandez: This is Gerardo. And in terms of measuring indicated we’re still working on the optimization of the mining methods. So out of those 600,000 ounces you see there at this moment we apply a more conservative approach to it in terms of conversion but we are working to increase that to bring at least to 50%. In terms of the inferred we have 1.4 million ounces, and that expected to be converted through drilling infill drilling and delineation drilling this year. And that will apply to typical conversion factor which is about 30% of what to mention.
Tony Lesiak: Okay, great. And maybe just a final question for Jason just on depreciation rates. Depreciation down I think more than expected this year than would be expected with the asset sales. Which are the assets that are seeing the bigger drops in depreciation?
Jason LeBlanc: Yes. Thanks, Tony. The biggest impact there that really tells the story is the impairment at El Peñón and that’s going to drop the DD&A year-over-year.
Tony Lesiak: Okay. Great, thanks very much.
Yohann Bouchard: May I before we go to the next question just ramp up a little bit. There was a lot of information there. As Butch mentioned Minera Florida we’re anticipating a minimum of 750,000 ounces more likely as Butch said one million ounces that may not all be this year but over the course of the next several years some of which will be this year. That’s what we expect out of Florida. Gualcamayo it’s two points. One, we did not discuss. We see the potential for another one million ounces at Gualcamayo with Las Vacas, Cerro Condor and Potenciales there is also deep carbonates. And because of this new discovery of the oxides deep carbonates becomes – pushes out a little bit. But discovery of the oxides deep carbonates becomes – pushes out a little bit. But deep carbonates as you all aware we’re already carrying 1.2 million ounces but it is open in every direction. And So we think that’s at least a double at deep carbonates. We’re not spending money on exploration of deep carbonates this year because of the oxides. But we’ll relook at that at the end of the year and then come back to an exploration campaign of deep carbonates into – likely 2018. At Chapada, you asked about Suruca. Suruca we deliberately said, look, it’s getting bigger but we’re not going to increase the production platform because a portion of Suruca is in a forest reserve. We have to get permitted for that. So we’ve been drilling on the opposite side of that so that we can still maintain that five years at least of production at 40,000 ounces per year and take a little bit more time in terms of getting the permitting completed that would then likely increase the number of years of production at that 40,000 ounces per year. On the broader Chapada, with Formiga and Baru and Sucupira, it's very difficult to say today, Tony, what is the increase in number of pounds in copper in reserves and number of ounces of gold in reserves, because it's too big to say at this point. And Baru will redefine – the next two drill holes at Baru will redefine how we interpret Sucupira as a possible open pittable target rather than what we have been planning as you know is an underground target. That would imply that we can bring ounces and pounds into reserves more quickly. But we do see this as a meaningful improvement to proven and probable reserves at Chapada. And remember also that we are already caring roughly 20 years of mine life at Chapada based on proven and probable reserves are they stands today. What we're looking at is not extending mine life based on proven and probable reserves, but bringing to reserves higher grade areas that will allow us to be able to use the existing plant to increase production in the next several years.
Tony Lesiak: Thanks Peter.
Operator: Thank you. The next question is from Steven Butler from GMP Securities. Please go ahead.
Steven Butler: Good morning, guys. Suruca – timing for Suruca production, guys, when do you see that coming into play? And what is the CapEx to get it going?
Daniel Racine: Well, the production is planned in 2019, the start of production. And then the CapEx is $50 million.
Peter Marrone: Yes, roughly $50 million, probably closer to mid $40 million.
Daniel Racine: Yes.
Steven Butler: Okay. And indicative range of operating cost for that deep leach is around 0.4 grams, is that correct, guys?
Peter Marrone: Between 0.4 and 0.5, that’s correct.
Steven Butler: Indicative cash costs – have you provided those?
Peter Marrone: Not at this point, we have not.
Steven Butler: Okay. Do you care to, I guess?
Peter Marrone: Not right now. It would be a guess on our part.
Steven Butler: Okay, that's fine. Peter, you mentioned Florida – excuse me you mentioned about 1 million ounce of resource around those three targets at Gualcamayo. And Butch, you also mentioned 350,000 ounces earlier. So if we look just explicitly at the near-mine, those two, the Condor and the Potentiales, the potential of those two, if you will, what are you guys thinking in terms of resource conversion potential on the immediate pit peripheral inferred or indicated resources? And would you convert those this year based on a more extensive drilling campaign?
Gerardo Fernandez: Steve, this is Gerardo. And there is one thing about those ore bodies, is that we have remaining resources behind the wall. And there is a Phase 4 open containing over 300,000 ounces. So the success of this near mine discovery is also unlocking the Phase 4 that today it floats at a higher price. So increasing the amount of ore in the wall at today's weight, so it will invert, we will unlock that potential. So on the Condor side and on the Potentiales, we were probably – the Potentiales is about 500,000, but it would draw another 300,000 from behind the wall. And still behind the wall there are some areas that were not drill; because of the surface there. And now we have access to drill it. So it could be potential increase as well.
Steven Butler: So are you confident enough that you will have enough drilling work done this year to consider these into the mine plan I would say 1,200 this year to consider these into the mine plan, I would say 1,200 or 1,100 – whatever your gold price that currently is assumed for reserves? Can they become into the plan this year potentially?
Gerardo Fernandez: The plan for this year is to drill the near mine target that I mentioned and included in the reserve for the next exercise at the end of the year.
Steven Butler: Okay, okay. Thanks, guys.
Operator: Thank you. The next question is from David Hudson from CIBC. Please go ahead.
David Hudson: Good morning, Peter and team. Thank you for the update. I've got questions on two assets. If I could start at Cerro Moro, please. Darcy, you give us a bit of an insight about the new mine plan. Bringing forward, it sounds like the underground start-up previously was going to be about a one-year delay, from open pit start to underground. It sounds like now it's going to be less than six months. Is that an accurate assessment?
Darcy Marud: Yes, that's about right. I'd say that’s accurate.
David Hudson: And you're still going for 1,000 tons a day, and I presume that it would be nearly 50:50 for the first few years of open pit underground?
Darcy Marud: It would be yes, I think I'm not sure of the exact ratio right now in the back of my mind, but it would be pretty close to that. I think it would be a little more skewed to the underground at the start.
David Hudson: Okay. How many tons would you expect four open pit material to go through? Could it be as much as 800,000 tons of material for a couple years of production or more or less?
Darcy Marud: You mean on accumulative?
David Hudson: Yes.
Darcy Marud: I would have to get back to you on that. I don't know exactly what the total open ton cumulative would be. It's more than 800,000 tons I just don’t know the exact number.
David Hudson: Okay. Because what I am trying to do here is kind of work backwards on your goal that you have identified for 2019. The average grade of 11 grams and 920 grams of silver, that's really much higher than what your reserve and resource grade might be. I am just trying to also think about the profile here. I guess that you are going to front-end load as much as you can, the better grade?
Darcy Marud: That’s correct. That better grade on the gold side – and well on both sides, the gold and silver is given that we're moving the underground forward about six months, so that's going to bring in some higher grades.
David Hudson: Yes, okay. Any clarity that you've got on the split of your reserves of open pit-underground would be really quite useful for that, on tons and grade.
Darcy Marud: We can get that.
David Hudson: Awesome. And then over to El Penon, new plan underway, trying to calculate now to where you are at as far as throughput could be. Are you going to wind this back to something like 3,000 tons a day more or less, or what's your thinking?
Peter Marrone: Yes. The throughput we're planning is between 2,700 to 2,800 during the guidance period, tons per day, I mean.
David Hudson: Yes, okay. And that would be at the sort of reserve grade level of – what is that, about five grams of gold?
Peter Marrone: Yes. It's a little bit lower on 2017, then it goes up, where in 2017 we're looking at 4.6 grams per ton for gold and 149 for silver. And then depending of the sequence that increases to the level of reserve and then comes down and then up and down, depending on the sequence. We are also taking a more conservative approach during the guidance period because we're adjusting the mining metals. So we have some consideration there for our next resolution that we're working on reducing.
David Hudson: Okay. And as you work through this transition phase, can you see the throughput lifting through time as you get more comfortable mining the narrower material, narrower veins?
Peter Marrone: Yes ,we are targeting to get to 1.1 million tons per year that is or above. Depending on if we have more areas coming in from exploration or we can compare more of the narrow veins with the new mining methods, that's the target.
David Hudson: And I presume the costs will drift up here, because you've got a fairly large fixed cost component. Would we expect to see that going through time as you're mining at these lower rates, until you get your change in mine practice underway?
Peter Marrone: Yes. If you look at the operation between 2016 and 2017 production dropped more than 30% however the all-in costs are up only about 2%, 3%. So we made a lot of effort to reduce our cost structure and still there is room for improvement. So we expect cost to decline in 2018 and 2019. Especially on the mining side, we are working on reducing the amount of waste we move, reducing that waste to a ratio underground below at 0.8 and that drives the cost of the mine down.
David Hudson: All right. Thank you for that additional information. Appreciate it.
Operator: Thank you. The next question is from Robert Reynolds from Credit Suisse. Please go ahead.
Robert Reynolds: Good morning, guys. My question is just on the remaining capital for Cerro Moro. I believe it was $233 million. What would be the split between 2017 and 2018 for that?
Darcy Marud: It's Darcy on that. It’s $176 million roughly maybe a little bit more than that in 2017 the remainder in the first half of 2018.
Robert Reynolds: Okay. And then I guess your total expansionary capital in 2017 was around $270 million. So what are the other projects that would be in that expansion-area capital bucket, other than Cerro Moro?
Darcy Marud: Jason?
Jason LeBlanc: Yes. Hey, Robert, it's Jason here. So the big other line items would be about $20 million at Chapada, $20 million at Jacobina, $20 million at Florida and then the partnership is about $15 million. Those are the big components.
Robert Reynolds: Okay, thanks.
Operator: Thank you. The next question is from Dan Rollins from RBC Capital Markets. Please go ahead.
Dan Rollins: Yes. Thanks very much. Just staying on the capital question, with respect to Barnett, assuming all the permits are in hand, how much more after this year will you have to spend on sort of the relocation and then pre-stripping that pit?
Jason LeBlanc: Jason again, into 2018, there would be – it’s about $40 million into 2018 and then a little bit less to spend in 2019, I think.
Dan Rollins: Okay, perfect. And then Darcy, maybe you could touch base – just following up on David's question. Obviously, you're going to front-end load Cerro Moro here. How quickly would you expect, based on the current reserves, that you have the model where you get to sort of the steady-state at that operation? Is a quick tail-down or do you have three or four years of higher production before we get to steady-state? Or is it – what's the profile there?
Darcy Marud: Yes. You have about I'd say three years before it tails down. The life of mine average production will be about 105,000 to 106,000 ounces of gold in about. I'd say 5.5 million ounces of silver.
Dan Rollins: Okay. And then just touching on Chapada, obviously you've had a lot of success regionally, but also near the pit. Sucupira sits on the wall. The Baru discovery is under infrastructure. Peter you mentioned that you're looking at potentially Sucupira as a pit, maybe Baru opens that up. If you were to go that way, how much of the existing site infrastructure would have to be relocated?
Darcy Marud: Well, I mentioned there’re several holes and we’re waiting on assay results. They move away from the plant. And so it would allow us to be able to redefine how open up that pit without having to change the location of the existing plant. So at this juncture we're not looking at the movement of the plant we’re looking at the moment of the ore body and how we would mine it away from the plant.
Dan Rollins: Okay. And then at Suruca, originally, a few years ago, there was talk about putting the sulfides through the existing mill once the oxides were taken out. Is that something you are still investigating?
Peter Marrone: You might remember that what we said is there’s a big sulfide deposit here but and it’s only gold. But the likelihood, is if we would process that at the end of the mine life and as the mine life gets extended with copper and gold production that continues to push out. So I don’t think you should – we’re not looking at the sulfides as something that we would process through the plant at any time soon.
Dan Rollins: Okay, perfect. Thanks very much.
Operator: Thank you. The next question is from Botir Sharipov from HSBC. Please go ahead.
Botir Sharipov: Couple for me. First on the Gualcamayo, if you could shed some light on why recoveries have come down this year? And what you are expecting next year? And maybe some of the measures that you guys are taking to improve those?
Peter Marrone: Good morning. In Gualcamayo the recovery has come down as we our mining a higher proportion from the bottom of the current open pit. We see the gold being encapsulated finer size getting to the bottom. That was expected in the model originally, in order to unlock that we need to crush finer that’s part of the study we are doing to improve that. However, for the future and this is the beauty of the new areas that have been discovered along the pit and behind the wall, is they are higher on the system and they don’t have that problem. So the recoveries at this point that has been done together with the drill holes show recoveries there in 60% to 70%. So as of now we have some areas already included in the mine plan that are coming from the upper parts not all of that, but the ones that we could if it is willing for this reserve update. The we several recoveries to go up to the 50% level – 50% level by 2019 next year should be pretty close to that 57% to 58% average down the open pit.
Botir Sharipov: Great, thank you. And then switching over to the guidance, your cost guidance, is that solely based on the commodity and FX assumptions that you outlined in the releases? Or does that also incorporate Brazil hedging?
Peter Marrone: Sorry incorporate what Botir?
Botir Sharipov: Brazil hedging that you have in place.
Peter Marrone: We have included in 2017 the colors that we have on our Brazilian exposure, yes, that’s correct.
Botir Sharipov: Okay, so then, a part of the guidance. And the last one is in the longer-term expansionary CapEx, $50 million to $75 million at time it sounds like pretty low. If you could maybe break it out into buckets, like where that money is going to go to which mine, what activities? Maybe just an outline? And if there is any other project in the longer-term pipeline that could see – have this CapEx go up?
Peter Marrone: Now, at this juncture – it’s just really a space holder based on experience. So for example, the replacement of our trucking fleet or one truck or another, the new area for tailings. So we are anticipating that the history of that 50 million to 75 million not including development stage projects will continue but not necessarily allocate it to anyone particular project. It would be just a space holder in some respects based on history to what we should expect into the future. But the categories would be trucking fleets, some equipment upgrades, tailings, those would be the major categories.
Botir Sharipov: Thanks, Peter.
Operator: Thank you. The next question is from Tanya Jakusconek from Scotiabank, please go ahead.
Tanya Jakusconek: Okay, great good morning everybody. Just wanted to come back to El Penon, if I could. I think, Jason, you talked a little bit about the fact the development is going to be declining. So can you give us an idea of what your sustaining capital with this new mine plan for El Penon is going to be? I think we were at a level of $55 million per annum. Where do we decline to?
Jason LeBlanc: Yes, we spent 60 million that will go down to $35 million in 2017. You see a drop in exploration as well as I mentioned. So we’ve recalibrated via the plan down but the cash flows have moved in lockstep and still generate very significant cash flow.
Tanya Jakusconek: So is $35 million per annum a safe number to use for your sustaining capital at that mine at the 340,000 ounce level?
Jason LeBlanc: Yes, I think it’s 20% reduction in development rates there.
Tanya Jakusconek: Okay. I know you had said 20% reduction by coming of $16 million. And then just on the cost side you did mention the cash costs are going to be coming down in 2018 and 2019. Can you give us a sense of what that decline is versus let’s say 2016 level so we have an understanding?
Peter Marrone: Jason, go ahead. Tanya, the biggest component is Cerro Moro. Cerro Moro’s costs on an island basis sits at $600 per ounce drives down the cost pretty significantly We can get that number.
Tanya Jakusconek: I thought we are talking about El Penon when Jason was talking about the cash cost declining.
Peter Marrone: Well we do see an improvement to the El Penon cash cost but I think Jason was referring to the overall cash cost of the Company.
Jason LeBlanc: Yes, just cash flow generation Tanya and I think Gerardo did mention that we saw stabilization of the cost structure at El Penon year-over-year call at around $900 per ounce and we do see an opportunity to reduce further. So that would be a contributor to the lower unit cost structure and the future. We also know increasing production levels that Malartic are going to drive with the lower unit cost that’s going to be a big contributor because of the waiting into our average costs. So things like grade adjusted has been as well. So we do see opportunities across the board for lower unit costs.
Tanya Jakusconek: I appreciate the other assets. I was just focusing on El Penon, with the lower throughput and the high percentage of fixed costs, like maybe just the general direction of where you see your cash costs going at that asset into 2018?
Gerardo Fernandez: Tanya, this is Gerardo. We are targeting to be 700 or below for cash cost. The main lever to achieve that is the mine. We are working on making the mine more efficient for the new type of veins or for combination of veins we have.
Tanya Jakusconek: Okay, thank you very much for that. And then just so that I understand, Suruca, since you had it coming in 2019, both the production and the capital are part of your guidance range that you provided?
Gerardo Fernandez: Yes.
Tanya Jakusconek: Okay. Okay, great, thank you.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back to Mr. Marrone.
Peter Marrone: So, in some closing comments two perhaps three comments. The first is I would like to highlight that Daniel stepped into the seat of our COO only last year. And 2017 will be his first full year. 2016 was an evaluation phase, 2017 and the years to follow will be the execution phase. We have tried to establish mine plans that are achievable, reasonable, sustainable, lower costs with increasing EBITDA and cash flow. I can comfortably say that I think that he has an excellent handle on our operations in the management of those operations and our mine plants. The second point I wanted to highlight on asset is something we have not touched on, although we did refer to it in some of our disclosure is that we have been looking at our dormant assets and looking at how we improve those assets. They include Suyai, Agua Rica, Jeronimo, and in the context of Jeronimo [indiscernible]. We think that there’s excellent opportunity there for us to be able to demonstrate improvements to costs, possible improvements to production and certainly opportunities for further monetization. I want to highlight that as we said in our disclosure that we are intending to host an investor day. I believe that we have already put that day out as May 5th – the afternoon of May 5th. We are looking forward to seeing our shareholders and the analyst community at that Investor Day and we do intend to showcase several mines on mine towards this year. Initially with the impressive efforts that Gerardo and Daniel have undertaken at El Penon and of course Minera Florida and ultimately by end of year early next year we would like to take the investing community to Cerro Moro to showcase what is our next high-quality mine in our portfolio. And with that ladies and gentlemen thank you for participating on our call.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.